Operator: Good morning and welcome to the EastGroup Properties Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note this call maybe recorded, and I will be standing by, if you should need any assistance. It is now my pleasure to turn your conference over to Mr. David Hoster, CEO. Please go ahead.
David Hoster: Good morning, and thanks for calling in for our third quarter 2015 conference call. As always, we appreciate your interest in EastGroup. In addition to Keith McKey, our CFO; Marshall Loeb, President; and Brent Wood, Senior Vice President will be participating on the call. Since we will be making forward-looking statements today, we ask that you listen to the following disclaimer covering these statements.
Unidentified Company Representative: The discussion today involves forward-looking statements. Please refer to the Safe Harbor language included in the company’s news release announcing results for this quarter that describe certain risk factors and uncertainties that may impact the company’s future results and may cause the actual results to differ materially from those projected. Also, the content of this conference call contains time-sensitive information that’s subject to the Safe Harbor statement included in the news release is accurate only as of the date of this call. The company has disclosed reconciliations of GAAP to non-GAAP measures in its quarterly supplemental information, which can be found on the company’s website at www.eastgroup.net.
David Hoster: Thank you. The third quarter saw a continuation of EastGroup’s positive trend in operations. Funds from operations achieved a 5.6% increase, as compared to third quarter last year. This represents the 10th consecutive quarter of higher FFO per share, as compared to the prior year’s quarter. It also marks the 17th time in the past 18 quarters that we have exceeded the prior year’s quarterly results. Per share FFO was the highest in the company’s history in 2014, and we expect to exceed that amount again in 2015. Our continued growth in FFO per share allowed us to increase the quarterly dividend for the 4th consecutive year this time by 5.3%. We’ve now maintained or increased our dividend for 23 consecutive years, and in fact, raised it in 20 of those 23 years. Our same property cash net operating results have now been positive for 17 consecutive quarters. And our increasing FFO and the dividend are being driven by the success of all three pumps of our long-term growth strategy. With that overview, I will turn the call over to Marshall for more operational details.
Marshall Loeb: Thanks, David. At quarter end, we were 96.6% leased and 95.8% occupied. Occupancy has now exceeded 95% for nine consecutive quarters, a trend we project continuing in the fourth quarter. This basically represents full occupancy for a multi-tenant portfolio. As commentary on the market, we’ve never achieved this level of occupancy for this longer time period. Drilling down into market specifics at September 30, North Carolina was our strongest market at 98.8% leased, followed by Texas at 97.1%, then California at 97%. Houston, our largest market with over 6.5 million square feet was 97.1% leased and 96.1% occupied. Supply remains largely in check. And looking further into the supply figures in a number of our markets, you would see that supply is largely comprised of big box deliveries being 250,000 square feet and above. So by design, we simply don’t compete for the same prospects. Meanwhile, in other markets such as Fort Myers, Jacksonville, Tucson, El Paso, there has been little to no spec development since the downturn. And our markets were that the fear of overbuilding is the greatest, such as Dallas and Houston, we’re seeing declines in new construction, while new deliveries are being absorbed. In short, the market discipline has been strong. In mid-July, we experienced somewhat of a slowdown in prospect activity, but it picks up again in early September, especially in developmental leasing, where we signed five new leases in the last several weeks. Rent spreads continued their positive trend for the 10th consecutive quarter on a GAAP basis. This also marks our third consecutive quarter for double-digit release in spreads. With 95% occupancy, strengthening markets and disciplined new supply were comfortable with this trend. Third quarter same property operating results rose on a cash and GAAP basis during the quarter. And viewing our third quarter same-store NOI, please remember there was a large termination fee in third quarter 2014, reducing GAAP results by a 130 basis points. We expect same property results to remain positive going forward though increases will reflect rent growth at a 95% to 96% occupied, we view ourselves as fully occupied. While as a testament to the quality of our portfolio to reach full occupancy so early in the cycle compared to our peers, it’s making quarterly same-store NOI comparisons challenging, as others are reaching full occupancy later in the cycle. As our occupancy demonstrates leasing activity remains strong in each of our markets, and we’re especially encouraged by increased demand from smaller users in the 15,000 to 25,000 square foot range. On a year-to-date basis, we’re experiencing the biggest improvements in our Florida and North Carolina markets. The price of oil and its impact on Houston’s industrial real estate markets remain a major topic of discussion. We thought it appropriate for Brent to again join today’s call. And for anyone who doesn’t know Brent, he is one of our three regional Senior Vice President and he’s based in our Houston office with responsibility for EastGroup’s Texas operations. Brent?
Brent Wood: Good morning. We continue to be pleased with the operating results for our Houston portfolio. The operating portfolio finished the quarter at 97.1% leased, which is up 50 basis points from second quarter, while our remaining 2015 rollover exposure is less than 1%. Looking forward, the scheduled expirations for 2016 of 15.4% is slightly less than the typical year and the average tenant size within the rollover is 30,000 square feet. Rents for the quarter were up 6.7% on a cash basis and 13.9% on a GAAP basis. As for GAAP same property operating results for the quarter, the 3.3% decline in third quarter was due to slightly lower average occupancy and a bad debt reserve reversal in the third quarter last year. Our budget assumptions for the fourth quarter produce a GAAP and cash same property operating increase of 2.2%, excluding termination fees. For the year, our original 2015 projections for Houston showed a 2.5% decrease in GAAP same property operating results, which has now been revised to a decline of 1.5%, and virtually flat year-over-year, excluding termination fees. During the first three quarters of the year, we have converted three buildings from our development program into our operating portfolio totaling 292,000 square feet that are 100% leased with an average weighted straight line yield of 8.3%. The Houston industrial market continues its resilient performance. The vacancy rate decreased another 10 basis points to a record low 4.7% as of September 30. This was driven by 1.8 million square feet of positive net absorption, which marked the 18th consecutive quarter of positive net absorption, totaling more than 29 million square feet over that period. Meanwhile, developers have demonstrated restraint with the construction pipeline declining to just 5.3 million square feet at quarter end, which is 45% lower than the post recession peak and down 16% from last quarter. The 5.3 million square feet underdevelopment represents just 1% of the total Houston industrial market. Despite the overall decrease and prospect volume this year, leases continued to be made in most submarkets in a broad range of sizes. I anticipate, we will begin next year similar to this year, whereby existing operating properties continue to perform steadily, while it would be much more competitive to lease newly developed space. As a result, development yield should continue to experience some declines as a reduced number of prospects are aggressively pursued. Our projected development starts for the remainder of the year include just one potential building at World Houston totaling 130,000 square feet. As always, our direct results and on the ground feedback will dictate the potential for future new project starts. Marshall?
Marshall Loeb: Given the intensely competitive and expected acquisition market, we view our development program as an attractive risk adjusted path to create value. We believe we effectively manage development risk through a diverse development program. The majority of our developments represent additional phases within an existing part. The average investment for our business distribution buildings is below $10 million, and we develop in numerous states, cities and submarkets. And finally, we target a 150 basis points minimum projected investment return premium over market cap rates. At September 30, the projected investment return of our development pipeline was 8.1%, whereas we estimate the market cap rate for completed properties to be in the mid 5%s. During third quarter, we began construction on buildings in Charlotte and Phoenix with a total of 201,000 square feet for a projected combined investment of $14 million. Meanwhile, we transferred three properties into the portfolio, including two 100% leased Houston assets. As of today, our development pipeline consist of 21 projects with 2.1 million square feet with a total projected cost of $157 million. And of that amount, we’ve already invested $115 million. With the Houston industrial property, the sales market remaining strong, we’re actively moving towards reducing the size of the Houston portfolio. We’re under contract to sell the 232,000 square foot Northwest Point Business Park with an expected November close. Due to large tax gain the sale creates, we’ll reinvest $15 million to $16 million in proceeds through a 1031 exchanges into development land, and are evaluating two possible Austin acquisitions. Post this disposition, we’ve identified a number of other Houston assets, which we’ll be bringing to market in early 2016. As we exit these assets and grow in other markets, the portion of our NOI coming from Houston will decline and the quality of our Houston portfolio will continue rising. During third quarter, we invested $6.2 million to increase our land holdings within two existing successful business parks. The two investments were $6 million for 30 acres, which lies within World Houston and 200,000 for four acres adjacent to Steele Creek and Charlotte. Keith, will now review a variety of financial topics, including our updated guidance for 2015.
Keith McKey: Good morning. FFO per share continues to increase compared to the same periods last year. The third quarter increased 5.6%, following increases in the first quarter of 6.1% and the second quarter of 9.5%. The third quarter increase was noteworthy since the combination of termination fees and bad debts from the third quarter of 2014 to 2015 decreased FFO by $910,000, or $0.03 per share. Bad debts in the third quarter were driven by two Florida tenants, a medical supply company in Orlando and a Jacksonville office supply company. Houston, meanwhile had only $2,000 of bad debt. Accretive acquisitions and development increases in same property net operating income and lower interest rates were all contributors to the increase and we calculate FFO using the NAREIT definition. Our debt to total market capitalization is creeping up because of our reluctance to sell our shares at these levels. Our FFO multiple at the end of third quarter was 14.4, one of the lowest levels in years despite record FFO. We’re looking at dispositions to fund acquisitions and carefully looking at development. But even with stocks sales below what we wanted and a reduced stock price, debt to total market cap was 35.8%. For the quarter, interest coverage was 4.6 and debt to EBITDA was 6.3. Adjusted debt to EBITDA was only 5.6. We were pleased with the terms from our $75 million unsecured 10-year notes with interest rates under 4% issued in October. We’re in good shape on our new bank line, and the next maturity date – debt maturity is September of 2016. In September, we increased the quarterly dividend by 5.3%. So in summary, FFO per share is increasing. We increased the dividend and the balance sheet is in good shape. FFO guidance for the midpoint was not changed. We estimate fourth quarter FFO per share of $0.94, which is 3.3% increase from the fourth quarter of 2014, and the year at $3.67, which is a 5.8% increase from prior year. I’d like to point out the disclosure in the guidance section of press release. We updated guidance assumptions, and also compared them to previous guidance. We welcome comments on our disclosure. Now, David, will make some final comments.
David Hoster: In summary, industrial property fundamentals are solid and further improving the vast majority of our markets. Based on this strength, we continue investing, diversifying, and harvesting our development pipeline. We’re also committed to maintaining a strong healthy balance sheet, as Keith reported. We like where we’re, where our industrial markets are, what we’re doing, and the results it creates for our shareholders. We will now take your questions.
Operator: [Operator Instructions] We’ll take our first question from Juan Sanabria with Bank of America. Your line is open.
Juan Sanabria: Thank you. I was just hoping you could speak to how we should view – how you were thinking about funding growth opportunities, whether they be acquisitions or developments, as we look into 2016 with – particularly with regards to using the ATM?
David Hoster: Let me answer that in several different ways Juan. First of all, acquisitions that we will make, I don’t want to say never, but probably will not be done unless it’s through 1031 exchanges. And the properties we are now looking to acquire in Houston will be purchased that way. We recognize where our cost of capital is and due to the reduced stock price. Secondly, through some of these exchanges, we’re buying development land, which you can do. And then we see development giving us a – continuing to give us value creation. As Marshall pointed out, if we’re building to an 8 or 8 plus yield and creating assets that are valued on a capitalization rate of 5.5 to just below 6, each new development dollar invested that way does a tremendous amount for NAV. With the ATM, as you saw, we did not project any issuance in the fourth quarter. But we’ve run some numbers – lots of number, and if you sell or we sell stock at a slight discount NAV, and I’d underline slight, the value creation between the yield and the cap rate on these new developments is very, very accretive. And at some point, we would like to check with one of us later to run through those numbers. I think, you’ll agree with us. So and one last item, from a balance sheet standpoint, we have – we were aggressively selling stock through our ATM over the last couple of years, knowing that at some point everything cycles and improved all our debt metrics to levels that were the best in the company history. And so we believe it gives us some pretty good borrowing power over the next 12 to 18 months to invest in new development without upsetting a strong balance sheet.
Juan Sanabria: Great, thanks. And just one follow-up question from me with regards to planned dispositions, specifically around Houston. Any sense of kind of dollar value or percent of portfolio exposure you would like to reduce Houston to, and kind of why sell now sort of an ancillary or subset to that question, and how have you seen cap rates move versus, I guess, the last 9 months or 9 months ago when the oil swoon started?
David Hoster: Our cap rates for industrial assets in Houston have moved probably at most 25 to 35 basis points up. There were 2 major sales announced – acquisitions announced over the last couple of months, where we bought a package on the east side, I think, a 5.2% yield and then an institutional buyer bought some newer properties at about the same yield. We’re very pleased with the yield we hope to receive on the sale of Northwest Point from – how much we would like to reduce in Houston. Internally, we have decided that no EastGroup market should have 20% or more of its NOI of the company’s total. So without giving you too many specific numbers, our goal is to reduce that NOI contribution from Houston below the 20% figure. And market conditions, leases, things like that are all going to determine exactly, which properties we sell at the timing of those sales. But as we said in the prepared remarks, we’ve been selling older properties in Houston for a couple of years now and plan to be selling the older ones as the new developments roll into that Houston portfolio, resulting in a higher overall quality and we think with more upside.
Juan Sanabria: Thank you very much.
David Hoster: Thank you.
Operator: We will go next to the site of Craig Mailman with KeyBanc. Your line is open.
Craig Mailman: Hey, guys. Just a follow-up on that last question. So it seems like maybe the sell-down in Houston is more a function of increasing exposure in other markets, and maybe less of near-term larger asset sales in the Houston. Is that the right way to think about it?
David Hoster: I would say, it’s both. We’re certainly not going to be fire sailing anything in Houston, as a knee-jerk reaction to the price of oil dropping. We – as I said – mentioned before, we just think that having over 20% of NOI from anyone city is not the kind of diversification we want. We jumped over that, because we had such an incredibly successful development program there and new properties were rolling in. We’re selling one good size property. Before the end of the year, we sold three buildings last year, so we’re just going to pickup the pace. But certainly not overreact or announce that we’re going to sell a quarter or a third of the properties or anything like that, because that’s not how EastGroup has operated over the last 25 years. Everything has been measured in an evolution of portfolio and diversification, we’ll just keep doing the same thing, because it worked pretty darn well.
Craig Mailman: If you were to look at your Houston exposure kind of what percentage of the 6 plus million square feet is non-core in your view?
Brent Wood: I’ll jump in. I wouldn’t describe any of it necessarily as non-core, just some of it are in submarkets with age. All our properties there as you’ve seen from our lease percentage have performed well over time. It’s just a few properties that we haven’t developed that probably in the near-term, don’t have it much upside value. So we will put those out there into the market. And to follow up David’s comments on cap rates, really the 25 to 35 basis point increase has been more verbal from the investment sales brokers. But as David mentioned, one of the transactions was just a hair under five cap, which that would show no increase really from the peak. So there are still people that are investing in hard assets in Houston have a long-term view of the city, the fourth largest city in the country. And they’re not looking at the next six to nine-month window, they’re looking at their investment hold, and they’re very comfortable with that.
Craig Mailman: Right. And just lastly, maybe reconcile the kind of the push here to bring Houston below 20% and then adding a little bit more development capacity at World Houston?
David Hoster: Let me try that, and Brent can follow up. The property that we acquired World Houston, the out parcel northwest corner of the golf course complex that we bought a couple years ago has been tremendously successful. We had a right of first refusal to buy it. The seller decided it – owner decided, it was time to sell, and we worked at a price that we feel worked very well for our numbers and reached the conclusion, if you’re ever going to buy industrial land in Houston right at the very entrance to intercontinental is the right place to be doing it, especially given our success at World Houston. So, oh, I should add on that. I think we mentioned earlier in the year, we had tied up two other parcels for development in Houston, and with the drop in oil prices and the question over what was going to happen with the energy companies. We backed away from both of those, because we saw those as sites that now would take three to five years of the whole before we could start development and giving the pricing that that was longer than we wanted to wait to start. We think and I don’t think we’re being overly optimistic that if we don’t start something at World Houston before the end of the year, we certainly would expect to do something next year there, given how we’ve leased up our most recent developments. The decision to reduce a bit in Houston, we actually started that, say, a year ago. And hindsight, we should have pushed it a little bit harder, I guess. But didn’t anticipate doing so much successful development there. So the goal is just to get – have our percent of NOI start with a one instead of a two.
Craig Mailman: The yield – that the land base is a little bit higher than what you paid for the golf course in 2011, and given construction costs are higher and maybe development rents are softening. Is it more of a mid-7’s on that incremental land versus you guys have – traditionally have World Houston?
David Hoster: No, two ways to answer that. We still would expect it to be a very high 7 or a low 8. And secondly, the numbers on what we’ve done on World Houston were helped not just by what we paid for the land, but Brent, did an excellent job of getting the reimbursement from Citi for most of the site improvements, utilities, and roads. So that we ended up with surprisingly low basis in the rest of the land, so that it’s not really comparable, I don’t think anybody will do that again.
Craig Mailman: Great. Thanks, guys.
David Hoster: Thank you.
Operator: And we will go next to the site of Vance Edelson with Morgan Stanley. Your line is open.
Vance Edelson: Great. Thanks. So it sounds like you’re not losing much on a cap rate basis trimming exposure on Houston now. But are we right in assuming that the plummeting price of oil has something to do with this decision, or is it just a coincidence that now you have this 20% goal in terms of diversification, which you say you started thinking about a year ago, or asked another way, are you at all more negative on Houston now than you were a year ago, or was the price of oil just a wakeup call on your overall concentration profile?
David Hoster: I think all of the above, the easy answer. We have not anticipated jumping over the 20% on NOI. The drop in energy prices required us to look a little more closely on it. But I think we would have been having the same discussion, the same augment decision just from a diversification standpoint, and how we operated EastGroup over the years. The good news is that, as I mentioned cap rates of held for Class A maybe gone up a little bit for B and probably what we’ll be selling our B assets, the one we have under contract four buildings, two of them are half talk, which is really service center. We bought the complex in 1994, it was our first acquisition there, so it’s the little longest hold we’ve had. So it just makes sense to get a little more aggressive on recycling. And it seems that investment community seems a whole lot more worried about Houston and real estate investors are, because maybe we’re looking at a little bit longer time horizon on, as Brent pointed out the fourth largest city in the U.S. that certainly is based on energy, but has a whole lot more diversified economies than it ever had before.
Vance Edelson: Okay, it makes sense. And then, Houston having traditionally been a major market for you. Can you help us think about the overall size of the development program in the years to come? Does that also start to shrink as a result, assuming the economy continues along as it has, or do you think new markets like Austin balance things out and keep the development pipeline strong next year and beyond?
David Hoster: Well, like a quick answer is that our development program is a 100% based on the leasing that we do in our existing portfolio and in the development assets that we have built and in Parks. And just about everyone of our spec developments is a subsequent phase in one of those Parks, so it’s all based on leasing. So we don’t – in our own mind, we say this how much we’d like to do in development next year. But we don’t get carried away with how big we want to be doing that in two or three years, because our company got in trouble trying to gear up to do something like that.
Keith McKey: Yes, I would just add to that that Vance, we’ve already seen Houston become less percentage wise of our overall development program within the company. The first three years coming out of recession, Houston represented about 80% of that total dollar amount and over the past three years, that’s been more on average about a third and during that time we’ve still grown the development program. But I’m really excited about and been trying to talk to people as they visit me about our development program in Dallas, which really over the past year is new to us. Our ParkView project we signed our first lease, we’re now 18% leased, and we’re just shell complete there, excited about the activity there. The land parcel we bought right at the end of last quarter, CreekView. We have to start a new building or two there at the end of the year, first of next year. And then San Antonio, our Eisenhauer Point property maybe other than a few little pieces we picked up in our Arion Business Park, and we bought that many years ago is by far the most excited, I have been about a development project in San Antonio. It’s a ground zero location right in the heart of the industrial main submarket in San Antonio. So I think we can pick up the slack just within Texas in San Antonio and Dallas, our other markets, Charlotte and other markets doing well. As David said, Houston, we’ll just see how it goes up north or Houston, we have no developmental space available currently, so we might start something there. West Road, we really have one building 58,000 square feet remaining, and then at the Ten West Crossing, where it’s been out west it’s been slowest, I wouldn’t see probably a new development start there next year, so again we’ll see how it goes.
Vance Edelson: Okay, very helpful. Thanks, guys.
Keith McKey: Thank you.
Operator: And we will go next to the site of Jeremy Metz with UBS. Your line is open.
Jeremy Metz: Hey, good morning, guys. Not to keep on the Houston front, but I was wondering, Brent, if you could maybe just talk about leasing in Houston. What are you seeing on the ground there in terms of rents and concessions these days, how that’s changed? And then just generally, do you see the amount of empty development space pressuring that further at all given a competitive landscape you talked about earlier?
Brent Wood: Yes, I mean, the existing pipeline, as I mentioned has come down, so it’s only roughly 1% of the overall market. So the pressure there is more amongst that subset, people competing to fill one empty building versus the competitor’s empty building. I think, as I mentioned, we’ll see the operating portfolios for everybody continue to operate pretty steadily that in a market where there’s a little bit of uncertainty, tenants tends to renew. They tend to stay put. They tend to not react, maybe do shorter-term leases. So I think the pressure will be more amongst the development, but we’ve seen that come down. You’re really ideally I think need two factors to help move development space and that’s tenants expanding within the market into that new space or companies coming from outside the market into the market, and we’re certainly seeing both of those factors slowdown. So that put pressure on it. But, again, we’ll just, I think there will be that bifurcation between the two, until there is more certainty in the market in the future.
Jeremy Metz: And so is the amount of concessions going up a little bit for that – for the space that needs to get filled?
Brent Wood: Yes, sorry to follow-up on that. Yes, within the development arena, you are seeing an uptick in free rent. It’s still below the level, say, recession levels, but it’s up over the past year, certainly since the drop in oil price. Renewals and again operating metrics, it’s not that pervasive. Again, if you get a good prospect and you’ve got a empty development space, you want to try to put your hooks into that prospect and lure them. So, we’ve seen – it’s easy to get free rent on an empty building, our new development building, because you haven’t had that NOI into your number yet. So to add another month or two a free rent and just a button up a project, certainly people are willing to do at this point.
David Hoster: And that will affect the straight-line GAAP yields. But we have such a cushion in terms of what we could sell these building for leased up, and having very attractive pro forma yields to give up 10 or 20 or 30 basis points. It’s still one heck of a value creator for each group, and if we can put a tenant in three or six months earlier, as a result of that, that’s FFO, it goes to the bottom line, and then if you don’t put them in, you never get back. So you might see some yields go down a bit in Houston or even in other markets, we’ve been predicting that for a couple of years. But we’ve got such a great spread, it’s incredibly NAV accretive to EastGroup’s overall picture.
Jeremy Metz: All right, appreciate the color. And then just shifting markets, can you give us an update on Phoenix? You had the big move-out in the quarter, just what your prospect are there and just more generally on the market and the leasing environment?
David Hoster: Sure. In Phoenix, it was – it’s one of our earlier acquisitions too, it’s a $124,000 foot tenant. One tenant had gone was a manufacturer that got acquired, so that’s why we lost the tenant there. We’ll move it into our – it will be a redevelopment into our development pipeline and then we’re going to end up spending over $1 million. So really covert this manufacturing building on the west side of Phoenix into one of our business distributions, hopefully multi-tenant building. So that’s where the vacancy came from. The Phoenix market is okay. It’s not as strong as our Florida markets or Charlotte, or even our Texas markets, with the uncertainty over Houston, but it is continuing to improve and showing positive net absorption. It’s a market that’s probably surprised us a little bit that it hasn’t recovered as quickly as Florida has, but again it was one of those markets driven largely by a homebuilding. So we’re watching Phoenix, it’s continuing to improve, but it is not as strong as the eastern markets are right now.
Jeremy Metz: And then just one cleanup one for Keith on the cash same-store guide, excluding the term fees, which have been a little volatile. It has unchanged the guidance despite the fact you are running over 4% year-to-date, and so sorry if I missed this earlier, but I’m just wondering, it seems to suggest a pretty big slowdown for Q, so this just in reversal of one-time items, or what’s really driving that foot on here in the fourth quarter?
Keith McKey: In the fourth quarter we’ve got another big term fee that was last year, which is the Texas market. In the third quarter, it was our large term fee that happened in San Francisco. So that’s, in fact, and Brent was talking about in Houston where that term fees, he has got a 2.2% increase in the fourth quarter.
Jeremy Metz: Yes. I thought I was just looking at the 3.4%?
David Hoster: I need to cut you off, but I think we have some other people in queue.
Jeremy Metz: All right.
David Hoster: If we’re not answering all your questions, please just give this call after we’re all done.
Operator: Next, we’ll go to Ki Bin Kim with SunTrust. Your line is open.
Ki Bin Kim: Thank you. You guys mentioned the cap rates being pretty tied in Houston, but maybe you could present color around how many bidders are actually showing up now they to buy these assets versus maybe a year ago?
David Hoster: On the Northwest Point, we were pleased with the number of bidders we had more than expected number go in the final in best round. And most of them were all recognizable names that clearly have the capability to close on a timely basis. So we’ve not seen. I’m sure, there are some deterioration in the number of people bidding there. But as, Brent, pointed out, the private investor should have a different view of Houston than public investors do.
Ki Bin Kim: Okay.
David Hoster: And that seems to be reproven every quarter.
Keith McKey: Yes, I would add to that, Ki Bin, we had 12 offers on our project for the best and final, which was very pleasing. All cash buyers in the market and the property that sold on the east side that’s being purchased was very hotly contested. And the one deal I mentioned off market, that was off market, because there’s such a demand for acquisitions that the group that bought it doggedly pursued the owner and cut that off market in that sub 5 cap, I think reflects that. But that’s a situation where somebody wasn’t satisfied with having the opportunity to get their money out. And so they went and created their own opportunity.
Ki Bin Kim: Okay. And just given the management transition that’s going – that’s occurring right now. Just curious the decision to pair down Houston and maybe the decision to sell the shares, I know, it’s a small amount at $60 a share. Was that – how did you guys come up with those choices? And was it more you, Dave, still making those choices, or was it a little bit of Marshall influencing it. Just curious, who has been championing what cause over there?
David Hoster: I would like to think I’m a dictator here. But our team that Marshall has joined, I think rookie and the senior executives have worked together for something like 13 or 14 years now. And so we go for consensus on items and I can’t on decisions like that and I can’t remember when we had strong disagreements on anything like that. So it was a management consensus on selling a few more Houston assets. Our list of disposition is something we discuss regularly. We always go through Board meetings with it in our strategy sessions. And so I don’t see that as anything that was dramatic.
Ki Bin Kim: Okay. End of last quick one, like you mentioned we talked about selling shares at 60…
David Hoster: As I pointed out before, if you run the numbers, if you sell some shares that 60 or 60 and change and do two-third equity, one-third debt invest that in development in an eight, eight plus yield and turnaround and when that development is done, have created an asset that would be valued at a 5.5 or worse to 6 cap rate. And you make that spread, the creation of value versus a very slight dilution of NAV for a small number is staggering. And we’ll be happy to later on run through those numbers with you. So selling lots of stock below NAV, no that’s not our strategy, but at a slight discount when you make the kind of spreads that we can in our development program that something we’ll always be looking at.
Ki Bin Kim: Yes, I don’t dispute the math on that. But my question was, when does buyback start making sense?
David Hoster: Well, you probably don’t want me to get off on that lecture, maybe you and I have to talk later. We never rule out buybacks at some significant discount, but if you’re borrowing money to do buybacks it’s a double negative whammy to your balance sheet. If you’re selling assets especially older assets like this Northwest Point, we’ve generally got tremendous gains. We closed on this between $15 million and $16 million. Our gain is greater than $10 million. So I think there’s not as $15 million to reinvest in stock so that’s where we’re doing the 1031 exchanges, that not only differ the tax gain, but allow us to acquire properties that are newer and other markets, which we believe have more upside. So that’s the short version. I’ll give my lecture later if you’d like.
Ki Bin Kim: I would take that up later. Thank you.
David Hoster: Thank you.
Operator: Next we’ll go to Brendan Maiorana with Wells Fargo. Your line is open.
Brendan Maiorana: Thanks. Good morning. Hey David, if it’s any consolation, I have always felt like you are a benevolent dictator.
David Hoster: Well, thank you.
Brendan Maiorana: And so question for Keith, to start. So your $2.40 dividend is it fair to think that that is in line with your taxable income excluding any disposition gains that you may have?
Keith McKey: Well, we do have some gains and but it’s not that much. We’re trying to defer where we can. I think this year we included about $2 million of gains, but our NOIs is increasing. We went through the numbers on FFO per share increasing and so taxable income is moving up. And I’m comfortable with the $0.60.
Brendan Maiorana: Yes, so I guess where I was kind of going with it is, it feels like probably selling assets to fund development given that most likely your asset sales carry taxable gains with them you wouldn’t have room with your current $2.40 dividend, if you chose to sell assets to help fund the development is that kind of a fair characterization?
Keith McKey: It depends on which assets you sell, Brendan, and we’ve run the data. We’ve got a list and in a number of those we’ve looked at what our tax basis is, but you are right the older ones will have pressure, but we can 1031 or reverse 1031, we’ve learned a lot about the 1031 rules over the last few months and the development land and we’ve also – see you can put it into land in a new development and not all of our sales will have large tax gains, so that’s one of the priorities we’re looking at too and we like going back to earlier question in terms of Houston disposition. Yes little bit of it is managing the size, a lot of it is where the market cap rates are and if we can pair down older assets and a market where we’re concentrated enroll them into new developments I’m excited about the land we just picked up the World Houston and developed to the kind of yields we’re seeing that’s a great long-term NAV creator there.
Brendan Maiorana: Yes sure and I get that. Okay so maybe you guys could maybe it make sense to sell assets and maybe you could do the portion as proceeds to fund development. And then the other part of kind of the capital equation, so this year you guys had done a really great job in that delevering more than you needed to right so your net investment growth this year you could fund with increasing leverage a little bit, which is still pretty low. As you think about it where you get to at the end of this year without any ATM programmed in for Q4 are you able to move leverage up next year or do you kind of get to a point where you probably have to match fund as you think about the net investment growth in 2016?
David Hoster: Brendan, we’re doing all our 2016 budgeting property and company right now, so little early to come to any conclusions, but we certainly think that we have significant borrowing power of going if not, all the way through next year well into it, but we’ll give you more detail on that one when those give you guidance next February. So we’re comfortable where we are and I hope by third quarter call next year, we’ll talk about something else.
Brendan Maiorana: Yes let’s all hope that’s not an issue and you guys can issue on the ATM at nice numbers. Okay all right, thanks guys.
David Hoster: Thank you.
Operator: Next we’ll go to Brad Burke with Goldman Sachs. Your line is open.
Brad Burke: Hey, good morning guys. Follow-up on the capital allocation questions, thinking about the current cost of capital as it’s just today; can you give us directionally how we should be thinking about the magnitude of your development going forward? And is it fair to think that the comment you made about two-thirds equity one-third debt that’s how we ought to think about the composition going forward?
David Hoster: Yes, and I don’t want to say that we’d never change that, but yes that’s the target that we’re talking about today. We feel we have a good bit of borrowing power. We don’t have an exact number, but if we do, we wouldn’t put it out now anyway, because that’s when you remember it and ask us about it later, but we’re comfortable with that equation.
Brad Burke: But the total size of development is there any reason I think that I would decline materially from where you have been running over the last 12 months?
David Hoster: I would hope not. As we always say, the amount of development we do is just about 100% based on amount of leasing that we do. We lease a building faster, we start the next one in the park faster. We lease it slower. There are delays in getting the next one going until we’re comfortable with what’s going on in that sub-market and that’s why when you look at our development schedule, they all have just about all have numbers after the name, because that’s the sometimes we get out of sequence, but that’s the number the next building in the Park.
Brad Burke: Okay that’s helpful and then quick one on credit availability Keith, since you were just out in the market with the private unsecured offering I was hoping you can tell us what you are seeing in the credit markets and whether you think the pricing for that type of issuance has changed much over the past few months?
Keith McKey: As you know, the 10-year treasury has moved down quite a bit, but the spreads have moved up considerably and, it looks like other type deal, a 10-year interest-only deal, would be between 4 and 4.25 now. We’re still looking at like 7 year, 5-year term loans too and then doing a swap with that on the fixed interest rate and those were I guess 7 years and 3.5 to 3.75 range, 5-year below that, but rates are still good.
Brad Burke: Okay. Thank you.
Keith McKey: Thank you.
Operator: And next we’ll go to Alexander Goldfarb with Sandler O’Neill. Your line is open.
Alexander Goldfarb: Sandler O’Neill. First David, congrats on your farewell call and assuming that you’ll be very happy as you do not have to talk anymore publicly about Houston?
David Hoster: Yes, I’ll bite my tongue at this point.
Alexander Goldfarb: I’m sure the guys will give you grief for what you’ve left them with to handle but just a few questions here. On the recyc, we should term that recycling as a company wide thing or just a Houston. So on the dispositions should we think of you guys more broadly over this, as long as the stock is where it is of actively selling more assets portfolio wide or most when you talk about dispositions you’re really specific with talking Houston?
David Hoster: No, we look at a priority in everyone of our markets and say, which assets do we think of run their course in terms of growth and value creation. And we’ve got hardly three assets that Marshall and I have talked about at length that could very be easily sold next year. And one of the things we do, which sometimes slows our sale is we believe that with our size squeezing an extra dollar out of each sale is important. So if there is lease coming up for renewal we want to complete it they can see we want to lease it. So things don’t usually happen as quickly as you’d like, but not that I’d be very surprised, if we don’t have 1 or 2, even 3 sales in other markets.
Alexander Goldfarb: Okay, so as long as the stock remains as is, shouldn’t if it sounds like you guys are going to use more dispositions rather than ATM for the equity component, which then suggests that there is more lumpiness on a go forward basis, because obviously timing dispositions is lot harder than timing ATM issuance. So can you just give us some perspective on how much dispositions we should be thinking about, because obviously it would seem to effect the timing and lumpiness on the quarters?
David Hoster: No I don’t think I can give that to you, because we are just now as I mentioned putting together our numbers and our timing on things for 2016. And lots of times as I mentioned you would hope to put the property on the market at specific date, something happens and there is a 30, 60 and 90 day delay and nothing happens as quickly as would like, so that’s not something that we are ready to do now, but a certain amount of that information will be in our on our guidance, which they say will be issued with our fourth quarter call in February.
Alexander Goldfarb: Okay and then the second question is. Given your guys cost of capital and where the stocks has been depressed for a period of time, how has this changed the investment returns that you guys are looking at or may be it’s not changed at all. If you can just give some perspective as far as are you guys kicking out more deals that get brought up to the investment committee or there really hasn’t been a change, because of what the underwriting has always been the standards that have always been there?
David Hoster: I think, the change has been that as I mentioned earlier that our acquisitions will be tied to reinvesting capital from specific sales rather than saying here is a nice asset lets go buy it.
Alexander Goldfarb: Okay so the return threshold haven’t changed, it’s just the timing of when you are putting money out?
David Hoster: That’s correct and, because we can do so much better as we have said for years in putting capital into development versus acquisitions and previously we were doing acquisitions, because it filled some holes in markets and we thought had really good upside where we were unable to build. So our efforts is just going to be even I guess a little bit more on development going forward, as long as we are in a situation we are in today.
Alexander Goldfarb: Okay great well listen that’s been in next slide and I appreciate it thanks.
David Hoster: Thanks I appreciate your thoughts.
Operator: Next we will go to Eric Frankel with Green Street Advisors. Your line is open.
Eric Frankel: Thank you. I like to echo those comments David, you had a long very successful career and your shareholders appreciate your leadership and stewardship, so best of luck in your next endeavor. I’m sure you are keeping a close eye on East Group’s operation well into the future.
David Hoster: Sure and thank you for putting up with some of my responses offline to you.
Eric Frankel: It’s required an increasing patience, but that’s noted. I was hoping you could Brent, maybe you could comment on the supply picture in Houston a little bit more in detail specifically the North and Northwest sub-markets where World Houston and most of your portfolio is located?
David Hoster: Yeah, good question, I mean of the 5.3 million it’s still pretty well spread out, but the highest the market rate right now is 4.7 but the highest sub-market like if you write which is right around 8 as of North and that’s a direct result of the new product that has come on line, it is the most desired sub market and was the most heavily built in, and so there is a little more of the overhang of the development stage, especially along that 45 quarter, which was a new pocket that people jumped into. So I wouldn’t really say other than that it’s pretty well spread out across the city. Some of the new starts have been in southwest sub market and then out east where few people are – the strength of the blue collar jobs and the port activity out there. So it’s pretty diverse, but with the exception maybe a little bit of that overhang and that one northern quarter.
Eric Frankel: Okay thanks. And obviously you mentioned that your acquisition are more or less driven by tax related issues, but isn’t it somewhat difficult in other marks well valued properties or properties that you think are going to generate decent enough returns as given where rates are today?
David Hoster: In every market where you own, 3.5 to 2.5 million square feet. They’re assets that you bought it earlier years that in today’s world we’ll have a little bit of fiscal obsolescence. Or you think you’ve run the value growth as far as you can go with them. And so it make sense to always be trying to upgrade the quality of your portfolio. We all used to use the expression recycling capital I think that is you’re going to hear more of that from us and from other companies. There’s always something that assets you like to own and some that you have with, you’re ready to sell and so we’re like anybody else.
Eric Frankel: Right I guess you’re seeing I think there’s some sort of mispricing between older assets and newer assets? Is that generally what you are implying?
David Hoster: Well the way we look at it as a long-term investor, loan-term holder of assets that gets rewarded and lot of the three ways in growth from existing operations that if their assets think are going to have less growth from the portfolio on average then they’re pulling down the rest of the portfolio. So it probably make sense as a longer term investor to recycle those assets into assets where you’re going to have more growth on a quarter-by-quarter or year-by-year operation and that’s why in a market like Austin we think that they’re going in yields, don’t totally reflect the upside in the operations and then it’s an attractive market for us to invest in.
Eric Frankel: I appreciate it well. I think there’s probably other people in the queue. So thank you very much for your answer to question today. Take care.
David Hoster: Thank you.
Operator: Next we’ll go to John Guinee with Stifel. Your line is open.
John Guinee: Thank you. John Guinee, here. First David, I’m particular or I’m really going to miss you, so if you want to forward me your cell number that would be great we can keep in touch.
David Hoster: Good.
John Guinee: All my questions have been asked three times and answered four times. So my question David, is there a bunch of suburban office names out there that are selling at a 7 to and 8 implied cap and FFO multiple around 10 or 11. What would you recommend to them?
David Hoster: I don’t have enough experience in that area. I never have although we did earlier in our career invest in office buildings and that’s why we evolved into a industrial REIT, tough way to make a living industrial is a whole lot simpler. It requires less capital and for us it’s proven to be a lot more fun. So they ought to hassle into industrial I guess.
John Guinee: That’s great. We’ll miss you.
David Hoster: Thank you very much.
Operator: Next we’ll go to Bill Crow with Raymond James. Your line is open.
Bill Crow: Hey guys good morning. David, I’m going to echo everybody else’s comments and on behalf of Paul and myself thanks for 20 or so years of relationship there. I do have one question and I’ll apologize, because it’s on Houston, but you can maybe expand it throughout the portfolio and that is if we go back to 2008, 2009, end of 2010, we were talking about watch lists and what the tenant conditions look like. So has the watch list in Houston evolved over the past six or nine months and there you only had one bankruptcy out of almost 200 tenants, but how do you assess the overall health of your tenant base there. Thanks.
David Hoster: Brent?
Brent Wood: Yes, and you’ve hit it, Bill. So far, it’s not been -- it’s been the one tenant that we’ve had out of our portfolio and it’s not been an issue thus far. There’s not been issue of bad debt. With that change going forward, we don’t know. Obviously the longer the slump in oil price is prolonged does that stress tenants into next year? Again, we just of knowing right now, knock on wood, the year, quite frankly, has probably gone better than we would have expected from that standpoint, so hopefully we’re not jinxing it by talking about it today.
David Hoster: And I would add to that, as you pointed out, the bad debt that we had in the third quarter was somewhat of an aberration to have two bigger tenants. And primarily, it was a straight-line write-off rather than the cash write-off, and they were both in different in Florida, but in different cities, so we don’t see that as any trend and as we look through our whole portfolio, companies that may be on a watch list, there doesn’t seem to be any trend for whatever business they’re in, which is the good news, but always looking over your shoulder, like we did in 2008, 2009.
Bill Crow: Okay. See you in Vegas. Thanks.
David Hoster: Look forward to it. Thanks.
Operator: And we have a follow-up with Juan Sanabria with Bank of America. Please go ahead.
Juan Sanabria: Hi, thanks for giving me the quick opportunity for follow-up. Just wondering if you can give us a sense of your 2016 expirations in Houston, where are those placed relative to market as you see it today?
David Hoster: Let me jump in first. That is not something that we look at or report when we say what rents we might be able to increase or have decreases there. A percentage of Houston portfolio coming up next year is below our average as a company, so that’s positive.
David Hoster: Yeah, and that’s I would agree with that, I mean it’s broad-based, the tenant size is a broad-based, it’s little early to have a good feel for how that will go next year, but I would just echo what David, said and we’re as always 69 months out working on our renewals and as you learn information, you deal with it.
Juan Sanabria: Okay and just one other quick follow-up. I think you mentioned, Marshall, maybe in your intro comments of a maybe a slowdown in demand or leasing in August then picking up in September. Correct me if I’m wrong, I don’t want to put words in your mouth, but any trends that you saw that drove that, I know there has been some softening in the macro data and I mean I recognized your portfolio is very well leased and above 95%, but there was a, kind of a slight dip sequentially, kind of how should we be thinking that slowdown you mentioned and then maybe the macro overlay?
Marshall Loeb: I don’t -- what we hear from the field and from brokers and you hear it every year as everyone says people are on vacation, when you get to late July and into August, and whether it’s the decision maker or our broker, or the broker on the other side, and usually, pick any time of year, the cynical side of me and people have a reason why deals are taking longer, but maybe this year it was actually true and that we got through about Labor Day and all of a sudden activity pick back up and deals got done and the rates and the T. I.s came in at about where we expect it was just a one-month hiatus and then it was like someone turned the spigots back on again and things were trains were running on time. So I don’t think there’s any macro trend or anything we can point to where people were nervous about the economy they felt better, it was the month of August was slow.
David Hoster: The old summer lull.
Juan Sanabria: Great, thank you guys I appreciate the time.
David Hoster: Thank you.
David Hoster: You are welcome.
Operator: There are no further questions. Thank you at this time I’d like to turn the conference back over to Mr. Marshall Loeb.
Marshall Loeb: Okay thankfully I’ll thankfully get to echo some of the comments I got to start as David, summer intern and we want to wish David, the best in his retirement. He will definitely be missed here particularly here in about 90 days when we’re back here all talking about East Group again I’m happy for David, I’m very appreciative and thankful for the opportunity to be here and to step into such large shoes figuratively and literally. And now with that I’ll turn it over to Keith.
Keith McKey: I want to congratulate David, on a great career it’s been a pleasure to work with him this past 30 plus years. And he’s built the company that has happy employees and happy investors.
David Hoster: Well thank you everybody. Thank you as always for your interest in East Group today, but for some of you more than 20 years interest our success is just due to our people we have got unbelievable team and I’ll be looking over their shoulders and this is my last call unless of course brought back by popular demand, which I hope does not happen, but again thank you and I’m sure I’ll see a good many of you at NAREIT in a month and I’d like to say appreciate all of even some of the bad comments. Thanks.
Operator: This does conclude today’s teleconference. You may disconnect at anytime, thank you and have a great day.